Operator: Welcome to the MasTec fourth quarter 2014 earnings conference call, initially broadcast on February 27, 2015. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Marc Lewis - Vice President-Investor Relations: Thanks, Vicki, and good morning, everyone. Welcome to MasTec's fourth quarter and 2014 year-end conference call. The following statement is made regarding the Safe Harbor for forward-looking statements pursuant to the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec's future results, plans and anticipated trends in the industries where we operate. These forward-looking statements represent the company's expectations on the day of the initial broadcast of this conference call, and the company undertakes no obligation to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize, or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management, we will be discussing the continued operations, adjusted financial metrics, as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings release, or the Investors and News sections of our website at mastec.com. As we announced in our press release last night, The Audit Committee of the company's board of directors, with the assistance of independent counsel, is undertaking an independent review primarily to determine if certain cost to complete estimates, currently believed to be in the range of zero to $13 million, which were recognized during the company's third quarter of 2014, should have been recognized during the second quarter of 2014. The company currently believes that the review will not negatively impact its full fiscal year 2014 results. Because the Audit Committee's independent review has not yet been completed, and no complete conclusions have been established, the company expects to extend until March 17, 2015 the filing date of its Annual Report on Form 10-K for the year just ended, as permitted by SEC rules. We will unfortunately not be able to provide any more information on this issue today. With us today we have José Mas, our Chief Executive Officer; and George Pita, our Executive Vice President and Chief Financial Officer. The format of the call will be, opening remarks and analysis by José, followed by a financial review from George. These discussions will be followed by a Q&A period, and we expect the call to last about 60 minutes. I will now turn the call over to José. José?
José R. Mas - Chief Executive Officer & Director: Thanks, Marc. Good morning and welcome to MasTec's 2014 year-end call. Today I will be reviewing our fourth quarter and full-year results as well as providing my outlook for 2015 and the markets that we serve. Before getting into details, I'd like to make some observations about 2014. While our performance was in line with our expectations, it was a challenging year. First, we were expecting significant wireless growth with the award of the dedicated crew program in late 2013, and we aggressively ramped our wireless resources for what we expected to be a strong year of growth. As you know, those revenues didn't materialize and our cost structure left in place had to be adjusted, which created margin pressure for the balance of the year. On a full-year basis, our wireless business was flat year over year in terms of revenue, but down significantly in earnings because of the cost pressures associated with this ramp. Despite challenging market conditions, we expect significant margin improvements in 2015. Also in 2014, we experienced negative organic growth in our oil and gas business, as 2013 was a very good year with higher levels of large diameter projects versus 2014, where larger projects as expected didn't materialize. Despite these challenges, we met our expectations and we are encouraged about our future. While we are managing through the uncertainties of commodity prices, our visibility for the balance of 2015 and, more importantly, into 2016 is very strong. There are a significant number of broad-based opportunities across a number of different markets that we serve, which we expect will transpire over the coming months and will solidify our views going forward. Now some full-year highlights; 2014 revenue was up 7% to $4.6 billion. 2014 continuing operations adjusted EBITDA was $425 million. Full-year cash flow from operations was $322 million, and 2014 full-year continuing operations adjusted EPS was $1.57. For the fourth quarter, revenue was $1.24 billion. Fourth quarter continuing operations adjusted EBITDA was $112 million. Fourth quarter cash flow from operations was $241 million, and fourth quarter continuing operations adjusted EPS was $0.40. In summary, while we performed to expectations, we are disappointed with our results for 2014. We expected higher levels of growth. However, with proper execution, we have significant opportunities ahead of us. We strongly believe that we are uniquely positioned to take advantage of these opportunities that our markets afford us. As we've seen over the last few months, 2015 will bring its own set of challenges. Declining commodity prices and currency exchange rates are putting pressure on some of our markets. However, we are actively pursuing and engaging on a number of opportunities that will impact our business in the second half of 2015 and to a much greater extent in 2016 and beyond. Now I would like to cover some industry specifics. Our Communications revenue for the quarter was $561 million versus $498 million in last year's fourth quarter and $2.041 billion for the year compared to $1.963 billion last year. However, as described earlier, our Communications EBITDA segment margins went from 12.6% in 2013 to 9.9% in 2014. This drop was primarily related to us ramping up our wireless resources for the growth we were expecting. Again, we expect a significant improvement in our Communications segment EBITDA margin in 2015. Our installation-to-the-home revenue was up 10% in the fourth quarter of 2014 versus 2013. We are proud of our efforts in expanding this business during the last year, and more importantly, our success in diversifying our customer base. We believe we are the largest third-party independent fulfillment company in the United States, with broad geographic coverage. We are excited about a number of different opportunities with multiple customers who are looking for nationwide fulfillment services. As it relates to wireline projects, we are very bullish on the growth of 1-gigabit opportunities. We have now been awarded more than $300 million worth of gigabit projects, of which only the 18-month estimated revenue is included in our backlog. We expect activity levels to increase throughout 2015. We expect further awards in 2015 and solid revenue growth in 2016. Our wireless revenue was up about 11% for the year, but about flat organically. Our recent acquisition of WesTower significantly enhanced our geographic service offering, which we believe strengthens our competitive position as we continue to diversify our customer base. For our largest customer, we increased our footprint during the fourth quarter into three new states. While their capital expenditure levels are reducing in 2015, we are comfortable that we are right-sizing for the expected levels of work. This puts us in a very different position going into 2015 than we faced in 2014. We believe that carriers will continue to use their networks as a point of differentiation, and data demand and growth will continue to drive the required levels of network spend. Wireless networks continue to grow and evolve, and we play an important part of that evolution. Revenue in our Electrical Transmission business was $147 million versus $107 million in last year's fourth quarter and $474 million for 2014 compared to $429 million in 2013. This was our highest level of quarterly revenues since we started the transmission business. We also expect double-digit growth in 2015. We are pleased with our progress. While we wait for larger projects to be awarded, we are winning a number of smaller jobs, and in the process expanding and diversifying our customer base. Many of these same customers will be awarding much larger projects, and our presence on their system is important. Moving to our Power Generation and Industrial segment, revenue was $94 million for the fourth quarter versus $57 million in last year's fourth quarter and $357 million for 2014 compared to $294 million in 2013. Backlog was up nicely both year over year and sequentially. We expect revenue growth in 2015 of approximately 10%. Again, customer and industry diversification has been an important goal for us, and in 2014 approximately 19% of our revenues in this segment came from non-renewable sources. Our Oil and Gas Pipeline segment had revenues of $436 million for the fourth quarter, compared to revenues of $494 million in last year's fourth quarter and $1.738 billion of revenues for 2014, versus $1.628 billion in 2013. As expected, large diameter long line construction activity in 2014 was significantly lower than in 2013, which helped lead to a margin reduction from 13.3% in 2013 to 11.1% in 2014. For 2015, we expect a strong market in the U.S. improving towards the second half of the year, offset by some recent weakness in Canada. Lower oil prices are impacting our Canadian business in a much more direct way than in the United States. In 2014, our pipeline business in Canada was approximately $695 million. It's important to note that this only includes a partial year for our Pacer acquisition. Between the effects of oil prices and the Canadian exchange rate, we're expecting 2015 revenues for our Canadian operations of approximately $550 million. This impact is the primary driver of our updated view on guidance that we included in our press release. Despite this issue, we are confident in the longer-term growth capabilities of our Canadian markets. Late last year, we were awarded and completed a larger diameter pipeline project in Canada, and believe that to be an excellent opportunity for growth in both the near- and longer-term. Outside of Canada, pipeline construction opportunities are at very high levels. During the fourth quarter, we won and signed approximately $500 million of new awards, most of which will be completed in 2015. Subsequent to yearend, we are having an excellent quarter of new bookings, which we expect to talk about on our first quarter call. Our visibility into the pipeline business for 2016 and 2017 is excellent and quite frankly improving. In addition, we are beginning to see the fruits of our efforts relative to the opportunities in Mexico. Over the last year, we've been very public about the growing opportunity to compete for projects relating to constitutional energy reforms in Mexico. Today, I'm very excited to announce an unprecedented opportunity for MasTec. As a member of a consortium, with Energy Transfer Partners and Carlos Slim's Grupo Carso, MasTec has been awarded two large and important projects by CFE, the Federal Electricity Commission, which is the Mexican government's state-owned entity in charge of generation, transmission and distribution of electricity. Both projects are at the forefront of CFE's ability to significantly reduce electricity tariffs as the utility shifts towards cleaner and cheaper sources for electricity generation, such as natural gas. At the end of 2013, the commercial tariff in Mexico was $0.23 per kilowatt hour, while the tariff in the U.S. was half that amount. The first project, Waha to Presidio, consists of the Waha hydro system with a capacity of 6 Bcf per day and the capability to connect over 12 pipelines and the construction of the Waha-Presidio pipeline with a capacity of 1.3 Bcf per day through a 143-mile, 42-inch pipeline, which MasTec will build. The pipeline will interconnect at the U.S.-Mexico border at Presidio-Ojinaga. The second project Waha to San Elizario consists of the construction of 194 miles of 42-inch pipeline also with the capacity of 1.3 Bcf per day, which MasTec will also build. Each project represents a 24-year contract with CFE to provide transportation services of natural gas from the United States to Mexico. The consortium is responsible for the design, development, construction and operation of the two pipeline system. MasTec plays two significant roles on these projects. As a contractor, MasTec will help build these pipelines with Energy Transfer as the customer, as they are the project construction manager. As a member of the consortium, MasTec will hold an equity interest in these projects for their useful life. Together, the two projects in total, represent a net present value of over $1.3 billion as calculated by CFE. Both projects, which are in the United States, will begin construction in either late 2015 or early 2016 and must be in service by 2017. CFE has also announced over a dozen similar projects as part of energy reform, which will all bid over the next year. To recap, despite the challenges we faced in 2014, and the current uncertainty around commodity prices in 2015, I am convinced that we have positioned this company in the right markets at the right time. I am also convinced that 2014 and even 2015 is not reflective of our earnings potential. We have excellent growth opportunities in our oil and gas, transmission, fulfillment, wireline and wireless markets. Over the last year, we faced some adversity and market trends haven't helped; that's not an excuse. I'm extremely proud of MasTec's accomplishments. I would like to take this opportunity to congratulate and thank the men and women of MasTec for their commitment to safety, their hard work and their sacrifices in making 2014 another solid year. Our people are our most important asset, and I'm truly looking forward to showing you what they can accomplish. I will now turn the call over to George for our financial review. George?
George L. Pita - Chief Financial Officer & Executive Vice President: Thanks, José, and good morning, everyone. Today, I'm going to cover fourth quarter and 2014 full year financial results, as well as our 2015 guidance update. I will also cover our cash flow, liquidity and capital structure. As in our previous calls, when we discuss our financial results and guidance, we're discussing non-GAAP continuing operations, adjusted earnings and adjusted EBITDA and as Marc already mentioned, reconciliations of non-GAAP measures can be found in our press release. As previously indicated, continuing operations adjusted results for the fourth quarter of 2014 and fiscal 2015 exclude the impact of acquisition integration cost, related to the WesTower acquisition. We incurred approximately $5.3 million of these costs in our fourth quarter of 2014 and anticipate approximately $15 million of these costs will be incurred primarily during the first half of 2015. These costs are principally comprised of employee separation, lease and equipment exit costs, as well as one-time training efforts to implement our systems and processes. Our integration effort for these operations is proceeding as planned and we anticipate this should be substantially completed by the third quarter of 2015. Before I get into detailed remarks, here are some highlights of our fourth quarter and fiscal 2014 performance. Q4 revenue grew by 7% to $1.2 billion, Q4 continuing operations adjusted EBITDA was in line with guidance at $112 million; and Q4 adjusted diluted earnings per share were $0.02 better than guidance at $0.40 per share. The highlight of the fourth quarter from a financial perspective was cash flow from operations, which came in at $241 million for the quarter and $322 million for the full year. This represents a 61% and $121 million increase in annual cash flow from operations versus 2013, during a challenging period in which our earnings were less than last year. As a result of the improved fourth quarter cash flow from operations, we were able to fund the $200 million WesTower acquisition without increasing our debt levels when compared to the third quarter. We entered 2015 with ample liquidity and solid credit metrics despite the significant capital deployed for the Pacer and WesTower acquisitions in the back half of 2014. Now let me get into some more detail regarding fourth quarter results. Fourth quarter 2014 results were better than our guidance with continuing operations, adjusted diluted earnings per share at $0.40 versus our guidance of $0.38 per share. Continuing operations diluted earnings per share were $0.33 compared to our guidance of $0.28. While our continuing operations adjusted EBITDA was essentially at our guidance, the combination of slightly lower interest, depreciation and amortization, and weighted average share count led to improved earnings per share results. I'm pleased to recall that as we previously indicated, the inclusion of WesTower results for the fourth quarter of 2014 was slightly dilutive to fourth quarter earnings per share due to the combination of abnormally low wireless project activity during the quarter, coupled with the absorption of higher pre-integration levels of WesTower operating costs. As we work to integrate WesTower into our existing wireless operations, we expect to generate cost synergies and this will improve the operating results of our combined wireless operations, as we head towards the second half of 2015. Fourth quarter 2014 revenue was $1.237 billion, up 7% from last year. Our Communications segment revenue increased $63 million, driven by the addition of approximately $100 million in WesTower revenue. As expected and previously announced, organic wireless project revenue decreased during the fourth quarter both sequentially and versus the same period last year. Oil and gas segment revenue during the fourth quarter decreased 12% compared to last year, and this was primarily due to lower levels of long-haul activity this year. As last year during the fourth quarter, we were in the midst of a large long-haul project. Highlights during the quarter include Electrical Transmission segment revenue, which grew 37% versus last year and Power Generation and Industrial revenue, which grew 65% versus last year. Fourth quarter cost of revenue excluding depreciation and amortization, as a percent of revenue was 86.3% of revenue compared to 85.1% last year with the increase primarily caused by project inefficiencies and increased overhead rates due to lower levels of wireless project activity within our Communications segment. Depreciation and amortization expense was 3.4% of revenue in Q4, compared to 3.3% last year and this reflects the impact of capital expenditures in our Oil and gas segment as well as a higher levels of amortization for the WesTower acquisition. Fourth quarter 2014 general and administrative expense, as a percentage of revenue on a GAAP basis was 5.2% compared to 5.0% a year ago. Fourth quarter 2014 GAAP general and administrative expenses include approximately $5.3 million of acquisition integration costs related to the WesTower requisition, as well as $4.4 million in non-cash stock compensation expense. During the fourth quarter, we recorded a charge of approximately $6 million net of tax to reflect final disposition costs for assets retained in connection with the 2013 sale of our discontinued GlobeTec water and sewer operation. As of yearend 2014, we no longer have any assets related to this discontinued operation reflected on our balance sheet. Fourth quarter continuing operations adjusted EBITDA decreased to $112 million from $123 million in 2013. On a rate basis, fourth quarter continuing operations adjusted EBITDA margin of 9.0%, was down from 10.6% last year, and as I mentioned earlier, this includes the impact of acquired WesTower operations. And finally fourth quarter continuing operations adjusted diluted earnings per share were $0.40, compared with $0.53 a year ago. Turning to full-year results, full-year 2014 continuing operations adjusted diluted earnings per share were $1.57 ahead of our guidance of $1.55. And again, this is primarily due to lower fourth quarter interest, depreciation, amortization, and share count. Full-year diluted continuing operations earnings per share were $1.42 compared to $1.74 in 2013. Full-year 2014 continuing operations adjusted EBITDA was $425 million at 9.2% of revenue, in line with expectations. And as we've indicated in the past, the disruption in wireless project activity that occurred in 2014 significantly impacted our Communications segment profitability, and we expect a lesser level of disruption in 2015 in this segment as well as improved continuing operations adjusted EBITDA margin results. As I think this bears repeating, full-year 2014 cash flow from operations grew 61% to $322 million compared to $200 million last year, an increase of $121 million. Our 10 largest customers for 2014 were AT&T at 21% of total revenue. DIRECTV was 12%. Enbridge was 8%. MidAmerican Energy was 7%. Energy Transfer was 6%. And Duke Energy, CNRL, Plains All American Pipeline, CenturyLink, and Starwood Energy were all at 2% of revenues. As we have previously indicated, AT&T customer revenue is comprised of three separate service agreements: wireless, wireline, and installed-to-home security installation services. Individual construction projects comprised 51% of our annual revenue, with master service agreements comprising 49%. And this mix is generally in line with recent trends. At year end 2014, our 18-month backlog from continuing operations was approximately $4.3 billion compared with $4.1 billion for both the third quarter of 2014 and the fourth quarter of 2013. This represents a 5% increase sequentially and over last year. Backlog growth occurred in the Power Generation and Industrial segment, as several verbal project awards were finalized and signed, and as well in our Communications segment. Communications segment backlog increased during the fourth quarter, reflecting the increase in WesTower operations, and was partially offset by lower levels of expected 2015 wireless project activity. Now let me talk about our fiscal year cash flow, liquidity, and capital structure. Full-year 2014 cash flow from operations was $322 million compared to $200 million in 2013, a 61% increase. Cash flow from operations during the fourth quarter was $241 million compared to $71 million during the fourth quarter of last year, and that's an increase of $170 million. Strong fourth quarter cash flow came from the seasonality of operations, some project closeout and retention payments, and the initiation of working capital reduction actions at WesTower. Because of this strong cash flow, we were able to complete the $200 million cash acquisition of WesTower without increasing our overall debt levels. We indicated earlier in 2014 that second half 2014 cash flow would improve when compared to the first half, and these results confirm that statement. Liquidity at December 31, calculated as cash plus availability on our bank credit line, was $588 million, giving us ample resources for growth opportunities in 2015 and beyond. During the fourth quarter, we retired our last remaining $100 million convertible notes and expanded our revolving credit facility, which has the effect of reducing our cost of capital. Regarding our capital structure, at year end we had $1.148 billion in total equity, $1.111 billion in net debt, and reported continuing operations adjusted EBITDA, in other words, not adjusted to reflect the pro forma earnings benefit of recent acquisitions, of $425 million for 2014. In summary, all of our credit ratios continue to be in good shape. And given our expectation for continued strong cash flow from operations, we expect to continue to improve leverage metrics in 2015. Now as we indicated in yesterday's release, we have purchased approximately 3 million shares thus far during our share repurchase program in the first quarter of 2015. And the purchases we've made during this period have been at an average price of $18.96 per share. Our fourth quarter accounts receivable days outstanding or DSOs were 87 days compared to 88 days for Q3. Remember that during the quarter, we added in WesTower's pre-acquisition working capital, which was much higher than our existing wireless operations. And while we began to make progress towards reducing these levels in Q4, it still negatively impacted our overall DSOs. We typically expect that our DSOs will range somewhere in the 80 days depending on the timing of project closeouts, et cetera. Regarding our spending on equipment, full-year 2014 cash CapEx net of equipment disposals was $92 million compared to $110 million in 2013. The total of our full-year cash CapEx, capital leases, and financed equipment, again net of equipment disposals, was $168 million in 2014 compared to $221 million in 2013, a 24% reduction. In summary, 2014 was a challenging year, as we were faced with a sharp change in expected demand for wireless project services in the back half of the year, which significantly impacted our profitability. Despite the significance of this challenge, we still managed to deliver reasonable earnings results while greatly improving our cash flow from operations. Now turning to our 2015 outlook, significant fluctuations in worldwide oil prices in the latter part of 2014 and into 2015 have made forecasting the 2015 demand for our Oil and Gas services challenging. During the first quarter of 2015, we have recently begun to experience project slowdowns and deferrals in our Canadian Oil and Gas operations, and it is difficult to predict if that impact will spread. While it seems that worldwide oil prices have stabilized recently, the oil markets have been extremely volatile, making near-term estimating difficult. Based on current market conditions, our full-year 2015 guidance revenue range estimate is $4.6 billion to $4.8 billion. Continuing operations adjusted EBITDA range is $450 million to $480 million, and continuing operations adjusted diluted earnings per share range is $1.65 to $1.87. The 2015 revenue range represents a flat to 4% increase over 2014, with a 6% to 13% increase in continuing operations adjusted EBITDA and 5% to 19% increase in continuing operations adjusted diluted earnings per share. Implicit in this guidance is a 60 to 80 basis point improvement of our 2015 continuing operations adjusted EBITDA margins to between 9.8% and 10% of revenue compared to 9.2% of revenue in 2014. Also included in our 2015 guidance is the negative impact of a stronger U.S. dollar versus the Canadian dollar on our Canadian operations. And during 2014, Canadian operations translated into U.S. dollars at a rate of slightly over $0.90 and the current exchange rates today are closer to $0.80. Our 2015 full-year guidance assumes a tax rate of about 39%. We've slightly increased our tax rate for both our final 2014 yearend and 2015 for the impact of recently enacted tax law changes, as well as the lower expected mix of Canadian operation earnings due to a stronger U.S. dollar. We expect 2015 interest levels will be slightly lower than 2014 levels at about $48 million as we benefit from the interest rate arbitrage associated with the pay down of our convertible notes in 2014. We currently expect 2015 depreciation and amortization expense will grow at a slightly higher pace than overall revenue, and our rate basis will approximate 3.7% to 3.9% of revenue. And this level includes the impact of a full year of both depreciation and amortization of intangibles associated with Pacer and WesTower acquisitions. We also expect that 2015 CapEx levels will slightly moderate some from 2014 levels with cash CapEx net of disposals of approximately $80 million, another $70 million to $80 million of capital lease and equipment financing CapEx for a total CapEx net of disposals of about $150 million to $160 million. Our estimate for 2015 share count for diluted earnings per share is about 83 million shares and 83.3 million shares for the first quarter. This estimate includes the impact of approximately 3 million shares in share repurchases completed to-date during the first quarter of 2015. We currently estimate Q1 2015 revenue of approximately $1 billion, with continuing operations adjusted EBITDA in the range of $75 million to $80 million, compared to $75 million during the first quarter of last year. Lastly, we expect Q1 2015 continuing operations adjusted earnings per share to range between $0.16 and $0.19 per share, compared to $0.21 per share last year. And as many of you are aware, our first quarter typically is our lowest quarter in terms of revenue and overall profit levels from a seasonality perspective. Our expectation will be that first half 2015 revenues would grow somewhere in the low single-digits over last year's levels. And that first half EBITDA margins will be slightly below our 2015 annual expectation. This means that broadly speaking, we're planning the second half of 2015 relatively flat from a top line revenue expectation perspective and this is primarily due to uncertainty in second half project starts for our Oil and Gas segment services. That said, we would expect second half EBITDA margins to slightly exceed our annual expectation, due to the non-recurrence of the significant wireless project disruptions we experienced in the back half of 2014 and the expected completion of the WesTower integration. In summary, we ended 2014 with strong cash flow generation and entered 2015 with a strong balance sheet and ample liquidity, to take advantage of the numerous opportunities ahead of us. We believe we're in a great position to offer excellent long-term growth potential in revenue, profit and margin. And that concludes my remarks, and now I will turn it over to the operator for Q&A. Operator?
Operator: Thank you. We will go first to Alex Rygiel with FBR.
Alex J. Rygiel - FBR Capital Markets & Co.: Thank you. Good morning, gentlemen. And nice quarter.
José R. Mas - Chief Executive Officer & Director: Thank you, Alex. Good morning.
Alex J. Rygiel - FBR Capital Markets & Co.: José, your visibility into the Oil and gas segment 2015 and 2016 sounds pretty strong. Backlog is up year-over-year right now. It sounds like 1Q bidding opportunities are very, very strong, maybe some of those projects don't start right away, but bidding activity is strong. What is your outlook for margins and pipeline? And do you think the U.S. pipeline operations can see some organic growth in 2015?
José R. Mas - Chief Executive Officer & Director: A couple of good questions. First we're very bullish on the oil and gas markets, especially as we look out going into 2016, even 2017. There is a lot going on right now. It's a very active market. We would expect that as 2015 rolls along, our backlog in that segment is going to increase dramatically. From a margin perspective, when you think about the business you know last year at this time, we were talking about some pressure to margins, because I think everybody was expecting the pipeline business to pick up in a big way, and it hadn't yet, I think a lot of those margin pressures subsided as the year went on. So I think margins in the business are good. Obviously, what ends up driving margins is utilization levels, so as you've seen in our business in 2013, we were able to utilize our resources at a higher level, especially with larger pipe work, which translated into much better margins, and I definitely see that taking place as we look into 2016 and beyond, and maybe even in the second half of 2015. So we're very, very encouraged by that. And I think I might have missed the last part of your question, Alex.
Alex J. Rygiel - FBR Capital Markets & Co.: Can your U.S. pipeline business grow organically?
José R. Mas - Chief Executive Officer & Director: I think it will be close. Obviously a lot of the reductions that we're expecting, if we look at the overall business year over year, we think that because of the Canadian exchange rates we'll have a slight downtick to the business overall. And it all depends on when projects start in the U.S. So if we get some starts in the fourth quarter, for example, then yes, I think we can have some nice organic growth year over year. If not, I think, it's going to be a flattish year going into 2016, where there will be flat growth.
Alex J. Rygiel - FBR Capital Markets & Co.: And if I can ask a second question, do you think the increase in your wireline 1-gigabit work can offset the year-over-year decline in AT&T wireless?
José R. Mas - Chief Executive Officer & Director: In 2015?
Alex J. Rygiel - FBR Capital Markets & Co.: Yes.
José R. Mas - Chief Executive Officer & Director: Probably not. When we look at a lot of the 1-gigabit opportunities that we're looking at, I think they are slower starts for lots of reasons that will pick up dramatically. So, as we see that business and there's obviously different types of players in that business, but for some it takes longer to get started, and for those we'll see a much greater ramp as we look into 2016 than we will into 2015.
Operator: We'll go next to Andrew Kaplowitz with Barclays.
Andrew Kaplowitz - Barclays Capital, Inc.: Good morning, guys, good cash this quarter.
José R. Mas - Chief Executive Officer & Director: Good morning, Andy.
Andrew Kaplowitz - Barclays Capital, Inc.: José, so look, you guys, as you know, you've cut guidance a couple of times this quarter, and your guidance range is pretty wide, which you don't normally give. And I know you talked about the limited visibility, especially in oil and gas. But maybe you could talk about what would need to happen for MasTec to reach the middle or higher end of the EPS range, I guess my concern is, we all know there's a lot of visibility issues here, this year in Oil and Gas, why would we not model lowering your range versus highering your range?
José R. Mas - Chief Executive Officer & Director: So it's a good question, Andy. Let me start maybe couple of months back. I think the initial look at guidance that we gave for 2015 and at the time we admitted was very early for us. We did because we'd just closed on our WesTower acquisition. We thought that we needed to help people think about what WesTower did to our business going into 2015 and what it meant from a financial perspective. We thought it was prudent at the time. Shortly thereafter our largest customer for both of those businesses, both for MasTec's existing business and for WesTower, they cut CapEx which forced us to take a relook at that time of our guidance and we issued a press release lowering our guidance at that time. And then since that time, oil prices took obviously a very difficult run through the later part of the year that ended up dramatically looking different than when we issued that first guidance. So, we're very frustrated because we think we got a good understanding and then we have things happen to us that are somewhat outside of our control that have forced us to relook at guidance. So as we're thinking about the guidance that we're providing today, we're obviously taking everything we know into account. But we're being very conservative on making any judgment calls outside of that. So, I would say that we've given a wider range than we typically do, because quite frankly we have no intent of hopefully changing that again. So we feel comfortable with the range that we put out. I think that where in that range we end up has to do with all the opportunities we talked about. I think I'm extremely excited because I think very few times in our history we had the amount of broad-based opportunities that we have today. We don't have opportunities in one business. We actually have opportunities in almost all of our businesses and some are very large. So to the extent that those play out and have impact in 2015, then hopefully we'll get either to the higher end of our guidance or better. And if some of those take longer to play out, then I think we'll be towards the lower end of the guidance range. And I wish I could tell you that I know, but that's kind of the reason we put out a wider range.
Andrew Kaplowitz - Barclays Capital, Inc.: Okay, that's helpful, José. And then can we talk about the Communications margin increase, I'm just curious what do you think is under your control in terms of the increase, is it most of what you're doing? In other words, is it just integrating WesTower, is it ramping up the businesses 1-gigabit, all that kind of stuff? Do you need to take out more cost in Communications or do you feel very confident that you can get this margin increase?
José R. Mas - Chief Executive Officer & Director: Again, we're coming into 2015 very differently than where we were in 2014. I mean in 2014, at this time, we were ramping at very high levels, we were really excited about the business, we thought we were going to have a lot of growth, and we did a lot around the business to increase the number of people we had, we bought a lot of equipment for the business. So we invested a lot in the business, and obviously the revenues didn't materialize. We were waiting to get visibility. So we probably took a little bit longer to act than what we should have, and we kind of found ourselves throughout most of the year overstaffed for the amount of business that we had, which had a big drag to margins. And I think as fourth quarter is also a little bit skewed, because it's the first quarter that we have WesTower, so margins in our Communications segment were definitely negatively impacted by the WesTower acquisition. So when we back all that out and we look at how we did in the fourth quarter outside of that, we were very pleased with our progress. We look at 2015, we look at where we're sized today relative to what we know the business is, and we don't think those issues will reoccur in 2015 versus 2014, which makes us feel that we're going to make a lot of progress on margins this year. We had a very good year in 2013 relative to margins. At that time, we were saying we actually thought margins could improve over time. And quite frankly, we still believe that.
Operator: We'll go next to Tahira Afzal with KeyBanc Capital Markets.
Sean D. Eastman - KeyBanc Capital Markets, Inc.: Hi, guys. This is Sean on for Tahira today.
José R. Mas - Chief Executive Officer & Director: How are you?
Sean D. Eastman - KeyBanc Capital Markets, Inc.: So first off, I'd just like to know if you have any clarity from your telecommunications customers regarding any potential changes to spending programs in the wake of the FCCs approval of Title II rules yesterday. The bookings and revenue growth outlook you guys gave in your prepared remarks suggest that there probably isn't a big change to at least the short to medium term economics of network investment, but I would like to get your thoughts there.
José R. Mas - Chief Executive Officer & Director: So again, obviously, it was the decision that happened yesterday. When we've looked at forecasting for the year, again, we think we've taken very conservative views based on what we noted. A), it will be interesting to see – I think a lot of customers have already put their opinions out publicly and they differ, and I think there are a lot of people on different ends of the scale. So as we've looked at our book of business, irrespective of what decision was coming down, we didn't think it was going to affect nor our business in 2015 and quite frankly the outlook going forward.
Sean D. Eastman - KeyBanc Capital Markets, Inc.: All right, thanks for that, José. Next, moving over to midstream, could you just give us an update on the nature of your relationships with your key midstream customers as it relates to movement towards more preferred alliances or otherwise?
José R. Mas - Chief Executive Officer & Director: We typically don't do that. I think we've got great relationships with our customers. We've got a couple customers that we've obviously been doing a lot of work for. I don't think anything has changed there. The nature of contracting in the business is changing somewhat because there's so much work coming that I think we're having a lot more dialogue around partnerships than historically we've had. But I'm not going to get into any specifics with any particular customers.
Sean D. Eastman - KeyBanc Capital Markets, Inc.: Okay, great. Thanks for the insight guys and great quarter.
José R. Mas - Chief Executive Officer & Director: All right, thank you.
Operator: We'll go next to Jason Wangler with Wunderlich.
Jason A. Wangler - Wunderlich Securities, Inc.: Hey, good morning, guys. I'm curious on the Mexico stuff. It sounds obviously very exciting. I was just wondering. Obviously, I think you walked through it a little bit in your prepared remarks. But just with you being part of the consortium, I guess with an equity interest, can you just maybe give an insight of how that's going to work from a cost and I guess your benefit or your revenue perspective as those projects go forward?
José R. Mas - Chief Executive Officer & Director: So again, twofold. First, we're very excited about the construction opportunities that those projects bring. As part of one of the consortium members, Energy Transfer is responsible for the construction management of those contracts, so we will have a contract with Energy Transfer to procure and perform those services. We will be paid by Energy Transfer, and it's an arm's length agreement between Energy Transfer and MasTec on the construction of those pipelines. On a separate side as an owner of the consortium and as a member of the ownership group of the consortium, we're going to have an interest in a 24-year – and actually the initial term is 24 years. We will actually own the header in the pipeline. There is a 24-year agreement for a payment stream for the full capacity of that pipeline. So we will enjoy the benefits of the ownership of that consortium. We don't own a majority of that consortium obviously, so we will book that as a member of the consortium.
Jason A. Wangler - Wunderlich Securities, Inc.: Okay.
José R. Mas - Chief Executive Officer & Director: So two completely different ways to look at it. One will be the construction activities associated with the job up front, which we will be paid for in its entirety. And then two, we will make an investment in the consortium that will have a long-term asset, which again for us is something new. This is the first major equity investment that we make in a project where we will own something. We think the returns are phenomenal and we're very, very excited to be a part of it.
Jason A. Wangler - Wunderlich Securities, Inc.: That's great color, thank you. And then I think somebody asked this, just sticking on oil and gas at least. But it sounded like you guys had a lot of good bookings in fourth quarter and even so far this quarter, and we're hearing a lot of pipeline stuff going on. But could you just maybe talk about the regions you're seeing some activity, and even also just the types of work that you're seeing awarded just given that all the turmoil is going on?
José R. Mas - Chief Executive Officer & Director: We're seeing broad-based activity. So we're seeing strong activity across the different shale basins, and we're seeing very strong activity on long-line construction that's planned. Again, a lot of the strength in the industry is in the United States. The Canadian market is a little bit different, and obviously the oil sands are being more negatively impacted than some of the other parts of Canada. But from a U.S. perspective, very strong, very broad-based activity.
Operator: We will go next to Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets: Hey, good morning, guys.
José R. Mas - Chief Executive Officer & Director: Good morning, Adam.
Adam R. Thalhimer - BB&T Capital Markets: On the wireless side, José, I'm curious if there are any other drivers to offset AT&T. You've talked about Sprint in the past. And then, with all the acquisitions that AT&T has made in Mexico, is that an opportunity to do some upgrade work there?
José R. Mas - Chief Executive Officer & Director: So a couple things. One, we're very excited about the opportunities in the wireless market as a whole. Again, we think we've got a great relationship with AT&T. We've built a great business there. We support them. We think we're doing a great job for them. But all along, part of our strategy has been we need to diversify our customer base. We need to grow with other customers. It was really the driving force behind our WesTower acquisition. And with that said, we're actually more bullish today probably than when we made the acquisition of what the acquisition can do for us from a customer diversification perspective. I would expect that over the course of this year, you're going to see that materialize, and we're going to see a much more broad-based wireless business with multiple carriers going forward, and we're really, really excited about that. As it relates to AT&T with some of their international expansion, obviously we are in Mexico today building wireless infrastructure for some of the existing Mexican carriers. We understand that AT&T is obviously going to go down there, and they will have their own investment to make. Again, we think we're uniquely positioned because I think we're one of the few providers that they've ever worked with that's already there performing those services. So we look forward to seeing what that means for us. So yes, it's an opportunity, and we'll see how that plays out.
Adam R. Thalhimer - BB&T Capital Markets: Okay. And then I want to make sure I understood the 10-K delay. That's just an issue between – where some of the costs – I guess would that impact the COGS line just between Q2 and Q3? There is no annual impact here.
José R. Mas - Chief Executive Officer & Director: So what we've said is unfortunately we can only refer back to the statement that Marc read. But yes, we're saying that we do not expect it to affect full-year 2014 financial results.
Operator: We'll go next to Dan Mannes with Avondale.
Dan Mannes - Avondale Partners LLC: Good morning, everybody.
José R. Mas - Chief Executive Officer & Director: Good morning, Dan.
Dan Mannes - Avondale Partners LLC: A couple questions here. First as it relates to Canada, obviously you have FX and a challenging commodity price environment. Can you talk about the type of work that you're seeing slowing down there? And does this apply across oil and gas and also into electric, or is this really civil and midstream on the oil and gas side?
José R. Mas - Chief Executive Officer & Director: Obviously, we don't have a significant presence in Canada on the transmission side. We've got an office up there. We're obviously going after some opportunities, but we're not a large established player there. So it probably wouldn't be correct for me to talk about that because we're not as impacted in that business because we're not in that business in a big way. As it relates to the gas and oil side of the business, the oil sands related activity is being more impacted than anything else. But we are seeing some slight impact to the midstream market. As you think about some of the larger diameter work, that work tends to be a little bit more stable because those projects are in planning process for a lot longer. And by the time they decide to build them, they usually go forward with them because they've got commitments and they've got significant costs already built into those projects. With all that said, our customers very early on in the processes as prices were reducing were very vocal with us that they weren't planning to change their plans. Subsequently, some of them started to make some CapEx reductions. It's still a positive environment. There's still a lot of bidding going on in the market. But again, based on customers' total CapEx spend and a lot of the announcements that have been made, we've got a view of what we expect, and again much more driven by the oil sands than anything else.
Dan Mannes - Avondale Partners LLC: Got it. And then real quick, just on the other side of the equation, any benefits here from lower oil, particularly as I think about install-to-the-home and all the trucks you put on the road every day. I'm just wondering if there's any margin benefit you may see over some other parts of your business from the lower cost of oil and diesel?
José R. Mas - Chief Executive Officer & Director: We use a lot of fuel, so the answer is, yes. I mean, we're obviously getting the same benefit that everybody else is getting on those prices. Fuel price is already beginning to tick up again. So we've seen a pretty decent shift here in the last couple of weeks on average fuel prices across the country. So again we've taken a pretty conservative view on our models. We haven't modeled in the lower prices that we saw very early in the year because we don't really know where they're going to go. So to the extent that they continue to stay at those levels, then there will be a better benefit than if they continue to tick up like they've been doing in the last couple of weeks.
Operator: We'll go next to William Bremer with Maxim Group.
William Bremer - Maxim Group LLC: Good morning, José, George and Marc.
José R. Mas - Chief Executive Officer & Director: Good morning, Bill.
William Bremer - Maxim Group LLC: Nicely done. Let's go right to Mexico. The first project 143 miles, what is the underlying diameter of that award. And then, the second one, I did hear, it was 42-inches. How many miles was the second award?
José R. Mas - Chief Executive Officer & Director: So they're both 42-inch projects. The first project is 143 miles, the second project is 194 miles, so it's about 350 miles in total.
William Bremer - Maxim Group LLC: Excellent. And have they both been placed or are they going to be placed eventually into backlog. How should I look about that and then more importantly, the underlying margins there and potentially for George, the DSOs in that market, what should we expect there?
José R. Mas - Chief Executive Officer & Director: I just want to make a couple of things clear again, right. So when we talk about that market, so we will be working for the Energy Transfer, these particular projects happen to be in the U.S., so we will be getting paid like any other pipeline project, there's going to be a lot of, these projects will ultimately – a big degree of these projects will be financed through project financing. So that's how, a lot of our existing customers fund their work, this is going to be no different. So we expect to be paid under the same terms and conditions that were typically paid for in our project work. What was the second part of the question?
William Bremer - Maxim Group LLC: Will you be able to utilize your other tentacles in Electrical Transmission and some Power Gen as well, maybe encompassing some other components that maybe needed as the build out occurs down there?
José R. Mas - Chief Executive Officer & Director: So obviously, there's no high voltage transmission on this project, but there is a lot of, we are building a header and the header requires a lot of services that we also procure outside of pipeline construction that we also hope to be involved, and so the answer is, yes.
Operator: We'll go next to Noelle Dilts with Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc.: Hi, good morning. Thanks for taking the question. My first question relates to backlog. You obviously had some very strong large project bookings in the quarter. I was a little bit surprised to see oil and gas like flat sequentially. Can you talk about, if you kind of had to go back and maybe reevaluate your Canadian backlog, was there a bit of offset there, just some of these large project wins. And then secondly, can you tell us either organic backlog growth or maybe just quantify that acquired WesTower backlog?
José R. Mas - Chief Executive Officer & Director: Sure. So from an oil and gas perspective, again, we were awarded about $500 million during the fourth quarter, I'd say a little bit of that worked out, performed, and executed in the fourth quarter. The balance of that was almost one-to-one bookings in the fourth quarter. A lot of the things that we've talked about like were not in the – question that I didn't ask that, that Bill asked was, when would this be put in backlog. So a lot of the stuff we've talked about was not yet in backlog as of December 31. Two, these projects in Mexico that we've talked about, one of the projects has now been signed, we do expect to get the second one signed before the end of this quarter. But those are the contracts with CFE, again we will be having a construction contract with Energy Transfer, so depending on the timing of when we actually execute those contracts, it will or will not be in backlog in Q1. For all intents and purposes in our mind, it's in backlog, whether we actually include it in our backlog in Q1 or not, we'll see over the next month. And yes, the backlogs associated with our Canadian businesses were changed to effect both the Canadian exchange rate issues and any project deferrals or cancellations that there were. So, we did relook at that and that has been adjusted at our year-end backlog. So year-end backlog should calculate and workout to what it is today. As we talk about some of our Communications backlog, we did add in WesTower backlog into our backlog calculation. At the same time, we did take a significant reduction to overall wireless backlog just based on what we knew today. And again, we're hoping that that gets better over time.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc.: Okay. And then just digging into the softness you're seeing in Canada a little bit. Is that more the kind of work you're doing with Pacer where it's kind of more projects, capital construction projects or is it also in the big country operation in more of the midstream business?
José R. Mas - Chief Executive Officer & Director: Well, the truth is we're seeing it in both; from a pure percentage base business, maybe we're seeing it in a little bit more of Pacer, but we're definitely seeing it in both.
Operator: We'll go next to Vishal Shah with Deutsche Bank.
Jerimiah Booream-Phelps - Deutsche Bank Securities, Inc.: Hey guys. This is Jerimiah on line for Vishal.
José R. Mas - Chief Executive Officer & Director: How are you?
Jerimiah Booream-Phelps - Deutsche Bank Securities, Inc.: Good. So just wanted to ask about the future Mexican opportunity, you mentioned a couple of other projects that are going to be bid out soon. So what's the kind of timeline that you're looking at for those and when could you actually see a construction timeline ahead of you?
José R. Mas - Chief Executive Officer & Director: So again just to reiterate what I said there is about another dozen projects that they've announced that we'll be bidding over the course of the next year, obviously if they bid those and we win, you don't start those projects right away from a CFE perspective because these are our peer designed construct and operated contracts. There is a whole other segment to the Mexico market, which is a lot more like what we do in the U.S. which is direct awards from, for example like the Pemex. We really didn't cover that today. We're also been actively engaged around that and we are hopeful that we're going to win some stuff there too. But we didn't cover that. In our minds, we expect further awards in 2015 and we expect that market to be very robust for us going into 2016 and beyond.
Jerimiah Booream-Phelps - Deutsche Bank Securities, Inc.: Okay. And then also on a different note here. When we saw this two-week extension to the wind PTC at the end of last year, we heard some potential, I guess, future eligibility for wind PTC. And so I guess is that influencing your business directly? Or do you see kind of more of an uptick than you might have expected this year because of that?
José R. Mas - Chief Executive Officer & Director: We were always expecting a really good 2015. I think if we're surprised, we're probably surprised at the strength of what we're now seeing for 2016. We think 2016 is going to be a better year partly due to that small extension because some are using that to push construction activities into 2016.
Operator: We'll go next to Ali Hemmings with D.A. Davidson. We'll go next to Veny Aleksandrov with FIG Partners.
Veny Aleksandrov - FIG Partners LLC: Good morning.
George L. Pita - Chief Financial Officer & Executive Vice President: Hey good morning, Veny.
Veny Aleksandrov - FIG Partners LLC: My question is on the margins side. You had a couple of great years, kept acquiring companies, growing organically and EBITDA margins have improved. And now because the business went away, when you ramped up production, the margins are getting hurt. So what can you do and I know it's a very tough process, but how can we go back to the double-digit-plus EBITDA margins?
José R. Mas - Chief Executive Officer & Director: So look, for us, it's all about execution. We're not making excuses, but obviously the change in the market demand for our services and the rapid changes that we've had to face in the business over the last year, in a couple of our markets have really negatively driven our margins. So, we've got to do a better job at that, we got to execute better. We got to understand and model our business better and right size quicker. I think we're doing that, and I think you'll see the fruits of our labor over the next year. And I think going into 2016 where we are actually expecting some very solid growth across a number of our different segments, I think we're hoping to get to levels that we haven't previously seen.
Veny Aleksandrov - FIG Partners LLC: Perfect. And my second question, the $15 million integration cost that you talked about in addition for the first half of 2015 is not in the guidance, right?
George L. Pita - Chief Financial Officer & Executive Vice President: The integration costs are shown as a Reg. G adjustment in our guidance, Veny, so that when you look at them, on an adjusted basis, we've not included those costs just like we did in the fourth quarter. And we said, they were $5 million in the fourth quarter of 2014. We expect about $15 million thereabouts in 2015 and expect that to be principally done by the third quarter.
Operator: At this time, I would like to turn the call back over to José for any additional or closing remarks.
José R. Mas - Chief Executive Officer & Director: Well again, I just want to thank everybody for participating today. We weren't necessarily happy with the year that we had. We're looking forward to moving on and look forward to updating everybody on our first quarter call. So thank you for participating.
Operator: That concludes today's Q4 and 2014 year-end call. Once again, we want to thank all of you. You may now disconnect.